Operator: Good morning. My name is Kim and I will be your conference operator today. At this time I would like to welcome everyone to the New Residential Second Quarter 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Mandy Cheuk, Investor Relations, you may begin your conference.
Mandy Cheuk: Thank you, Kimberly and good morning everyone. I would like to welcome you today to New Residential's second quarter of 2016 earnings call. Joining me here today are Michael Nierenberg our CEO; Nick Santoro, our CFO; and Jonathan Brown, our CAO. Throughout the call we are going to reference to the earning supplement that was posted to the New Residential website this morning. If you have not already done so, I would suggest that you download it now. Before I turn the call over to Michael, I would like to point out that certain statements made today will be forward-looking statements. These statements by their nature are uncertain and may differ materially from actual results. I encourage you to review the disclaimers in our press release and investor presentation regarding forward-looking statements and to review the Risk Factors contained in our annual and quarterly reports filed with the SEC. In addition we’ll be discussing some non-GAAP financial measures during the call today. And the reconciliation or these measures to the most directly comparable GAAP measures can be found in the earning supplement. And now I would like to turn the call over to Michael.
Michael Nierenberg: Thanks, Mandy. Good morning everyone and thanks for joining our second quarter earnings call. For the quarter, I think we had a terrific quarter and we continue to do all we can to deliver consistent earnings, while maintaining and hopefully growing our dividend overtime. And despite all the volatility that we saw in the market and the uncertainty following Brexit, again we’re very proud of our results. For the quarter we saw global [indiscernible] following Brexit and yields in all fixed income assets headed lower. We saw spreads on mortgage assets tightened as fixed income investors search for yield. Just to give a sense on some yields. On a year-over-year comparison, in June of 2015 the 10-Year Treasury rate was 2.35%. One year later, at the end of June in 2016, it was 1.47%. So obviously, we saw a very big rally in the treasury market. The 30-Year Mortgage rate, for comparison at the end of June in 2015 was 4.02% and at the end of Q2 in 2016 was 3.48%, so again a very big rally in mortgage rates. For us our core investment strategy performed very well despite the challenging markets. During the quarter, we invested $233 million of capital with most of that targeting the Non-Agency mortgage market. We bought Non-Agency mortgage securities in which we own the associated call rights. For the quarter, our Non-Agency business did extremely well. We had an unrealized gain of approximately $68 million, which increased our book value by $0.30 per share. Our advance business continues to perform like we thought it would. Advance balance continue come down as delinquencies trend lower. For the year advance balances are lower by 13% since January 1. In our MSR segment, despite seeing the lowest mortgage rates we’ve seen since May of 2013, our portfolio outperformed the market as we own very seasoned and more credit impaired MSRs in the broader market. Our recapture agreements with our servicing partners also provide insurance for our portfolio. On the consumer front, our consumer loan portfolio has been terrific, outperforming underwriting as charge-offs and delinquencies are much lower than our initial underwriting. To give you a sense, when we initially purchased the consumer portfolio in May of 2013, charge-offs were approximately 12%, today they’re between 5% and 6%. So overall, that portfolio has performed extremely well. So now I’m going to refer to the supplement which has been posted online and after that we’ll open up for some questions. Currently, New Residential trades at approximately 13% - I’m on page 2. On page 2, our dividend yield is approximately 13%; our market capital is $3.2 billion. As I’ve been pretty well for weeks [ph], set out on a mission to become licensed to own MSRs in all states. We’re currently licensed in 49 states, we’re also licensed to own Fannie Mae MSRs, we also have approvals from FHA to FHA MSRs. Our Excess MSR portfolio is $371 billion and we own associated call rights on a Non-Agency mortgage market of approximately $175 billion. Our GAAP income for the quarter was $68.7 million or $0.30 per diluted share. Our core earnings were $119.6 million or $0.52 per diluted share. We paid a quarterly dividend of $0.46 per common share. On page 4, New Residential Today, if you take a look to the right side of the page, our excess MSR portfolio net of financing is currently $1.358 billion or including financing is about $1.65 billion. Our servicer advance portfolio is $205 million, our residential securities and where we own the associated call rights is approximately $792 million. Our consumer loan portfolio and residential loan portfolio is $311 million. We have cash at the end of Q2 of $234 million. For the quarter in our Non-Agency business, we executed clean-up call rights on 12 seasoned Non-Agency deals totaling $291 million. We then completed our seventh Non-Agency securitization totaling $306 in May. As I pointed out earlier we increased our Non-Agency RMBS position growing our net equity from $374 million dollars at the end of the year to $715 million as of the end of Q2. And then the valuation of our Non-Agency securities increased by $68 million during the quarter from mark-to-market gains and again that increased our book value by $0.30 per share. On the excess MSR front, as I pointed out earlier, we are now eligible own to MSRs in 49 states. That is up from 46 states in Q1 and we are also licensed. We have Fannie Mae approvals to own MSRs as well as FHA approvals to own MSRs. We expect to be licensed in the other state, most likely over the course of the next 30 days and I am looking to discuss that a little bit later. On our portfolio, we have been very vocal about our investment strategy of owning legacy credit impaired seasoned mortgages, so as a result when you look at our next CPRs on the quarter, our net CPR increased by 1.8% compared to an average industry average of 4.8%. We also in the quarter secured two new financing facilities, one for $300 million and one for $225 million. And on the servicer advance front as I pointed out earlier our service or advance balances were down 13% year to date. We started the year at $7.6 billion. We are now at $6.6 billion as of the end of Q2. Also our advance to UPB ratio declined from 3.4% in Q4 of 15 to 3.2% at the end of Q2. And then we continue to do all we can to improve our advance rates, lower our cost to funds and increase financing capacity around our servicer advance business. I’m now going to take you through our portfolio update, which I’ll begin with on page seven. On our excess MSRs, what sets us apart from the rest? Our total portfolio is $371 billion and a couple of things I would like to point out to you on this page. If you take a look, our portfolio is seasoned now. Our weighted average seasoning is 115 months or a little bit more than 10-year seasoned on our portfolio. Our current LTV is 83%, our current FICO is 662 and our delinquency ratio is 14%. As you take a look to the right side of the page, our average loan size is smaller than the industry average. We have a 155,000 average loan size versus 197. Then if you look at the other metrics on the right FICO as I pointed out 662 versus 731 and again our LTV is 83 versus 78. All of these things explain why our speeds are going too much slower than the industry average. As you take a look at page eight, I pointed out earlier; the mortgage rate at the end of June was 3.48% versus 4.02%. If you take a look at year-over-year, our net CPR is almost identical, it’s roughly 13%. So again the nature of our portfolio being very seasoned, credit impaired typically higher LTV is going to protect us during periods of time when the treasury market rallies like we have seen and mortgage rates rally like we’ve seen. The other thing to note is again, on almost all of our MSRs we have, recaptured provisions in place with our different servicers. On page nine, our servicer advance portfolio; that will continue to come down over time as these loans continue to season and the delinquency profile of the portfolio cleans up. Pointed out earlier $6.6 billion is our total advanced portfolio versus $7.6 at the end of the year. Total equity is $204 million; you may ask, why did that go up in the quarter? What we did is we had excess liquidity in our portfolio, so we paid down some of our advanced financing and as a result that increased the amount of equity that we had in our advance business. Life-to-date IRR of 25% and we believe that should continue to perform extremely well again as delinquencies come down and portfolio continue to season further. One page 10, this is our typical illustration where we talk about how our deal collapse opportunity works and what the associated P&L is as a result of this. Again it is an illustrative transaction, $565 million we purchased underlying bonds at a discount. We then execute the call rights, where we buy the collateral and the associated advances at par. We then sell or re-securitize the performing loans at a premium and then we retain the distress loans and modify or liquidate those over time. Typically our P&L has been something around 2 points on each transaction we have done, while saying that there is no guarantee what that will be going forward, but we are very optimistic on that business. On page 11, again this is our slide where we talk about what the pipeline looks like, what are some of the key drivers and how we are going to accelerate our call pipeline. Currently we own call rights on approximately 175 billion UPB of the Non-Agency mortgage market that is a very, very significant amount of the legacy Non-Agency mortgage market. Over the course of the past two years, we’ve seen delinquencies decline by about 4% from 22% to 18%. We do expect this to continue over time, that will help us accelerate timelines and improve our ability to call Non-Agency deals, not necessarily one by one in a quarter, but hopefully do some significant size. Currently our callable pipeline is about $30 billion and again overtime we will do all we can to try to figure out a way to accelerate that. As I pointed out on earlier earnings calls, I do believe this is going to be not NRZ specific, but it is going to be a broader industry effort to be able to do that and we look forward to working with our partners in the industry to accelerate those timelines and clean up the legacy Non-Agency mortgage market. On page 12, we talk about our consumer loan portfolio, just some highlights. In April of 2013, we invested $241 million to purchase 30% interest in a $3.9 billion UPB consumer loan portfolio, to date we haven’t got a back a little bit over $515 million on that investment. If you recall back in March of 2016, we increased our position in that SpringCastle JV from 30% to 54% by investing roughly another $55 million to capital there. The life-to-date IRR is 90% obviously, we would like to find more of those for you guys, but there are few and far between and as I pointed out earlier charge-offs are running much lower than our initial underwriting. Currently at the end of June, they were 5.2%. If you look at acquisition I pointed out earlier they were 12%. So overall we are very excited about that portfolio and we believe we should see continued excellent performance from that business and portfolio. One page 13, we discussed our funding platform. We will continue to do all we can to increase liquidity in and around our business. We currently have over 21 different financing counter parties. We have facilities from Repo facilities and bank facilities to variable funding notes around our advance business and we also have term debt where we issue term securities. During the quarter I pointed out, we did two financing facilities around excess MSRs, one is for $300 million on Non-Agency MSRs and the other is for $225 million around agency MSRs. I do want to point out on the $300 million facility I think we’ve drawn about roughly $100 million of liquidity on that facility, so we still have plenty of liquidity left in that facility as well as in our business. Page 14, we discuss where we are from a state perspective. I think this is pretty clear, there is one remaining state that we expect to get approval from that is California. We hope to obtain that approval over the course of the next 30 days. We are currently licensed by Fannie Mae and FHA. We are working with Freddie Mac and Ginnie Mae. There is a real thesis of what we are doing here is, we want to one, maintain flexibility in our business; two, protect our interest in every MSR that we own and three, have the ability to acquire MSRs and diversify our servicing partners over time. One page 15, we talk about the second half of ‘16. As you take a look, one of the things that we are extremely vigilant in doing, every day we come in and we try to make sure, we do all we can to maintain and grow our dividends in our business. As you take a look over the past four quarters, we continue to pay $0.46. We’ll do what we can to continue to do that over time. The core business is going to remain the same. We will be licensed, we believe in all 50 states shortly. We are going to try to increase our Non-Agency call rates execution and accelerate those time lines. As I point out, I do think it is a bigger effort and just NRZ at this point. The MSR pipeline is extremely robust and significant, more so now than we have seen and over the course of the past couple of years there’s been a lot of chattering and there has been a lot of - some of our non-bank servicers who have announced strategic decisions to actually sell MSRs. We are in the middle of lot of different things and hopefully we could execute on the MSR pipelines. We are going to diversify and increase our funding vehicles and our funding partners and then we will continue to explore, what I would call opportunistic investments in the market place. So with that will turn it back to the Operator and open it up for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Jeremy Campbell with Barclays. Your line is open.
Jeremy Campbell: Just here I see here in the last slide, the size of the MSR pipeline is about $500 billion, but when you think about the pipeline of “seasoned and credit impaired MSRs” which is your main target, what does that look like?
Michael Nierenberg: I would say that out of $500 billion it is probably closer to - 350 to 400 is probably the amount. We use 500 a little bit as a rough number. I do think the actual amount of MSRs that could come to the market could be even more than that. The other thing I would do want to point out with a 10-year treasury rate this morning at 155. If we are ever going to take a look at different MSRs I think it probably be reasonable time to do so. Yeah, the legacy MSR pipeline looks very robust, but I would also say the MSR pipeline is broadly looks extremely robust.
Jeremy Campbell: Got it, and the seasoned credit impaired mean, really mostly non-agencies or do some agencies fit that bill as well?
Michael Nierenberg: There is both actually, if you take a look at our portfolio roughly 70% of our equity capital is in the Non-Agency legacy MSR business. So as a result you know seeing mortgage rates for example at the end of June at 3.48%, yeah, that get as nervous, but the flipside of that is, when you take a look at the nature of the portfolio it has performed extremely well, particularly around the Non-Agency stuff and we like that very, very much. There are legacy credit imparities in agency MSRs, we look for seasoned MSRs as well but I wouldn’t limit that to one versus the other at this point.
Jeremy Campbell: Got it, and then consumer loan charge also remain all time low similar to other consumer credit classes and you also mentioned that feature clean up call deals required delinquencies and advances, continue to decrease from here. So what we remain in a pretty benign credit environment for the consumer. How do you think about the risk to NRZs earnings if the economy does sort of deteriorate and delinquency and charge-offs due start to rise.
Michael Nierenberg: It is a good question I think, just to be clear on the consumer portfolio our carrying value is approximately $145 million. When you think about a company that has equity capital, little bit shy of $2.7 billion in a market capital of $3.2 billion, what we are concerned about, always concerned about everything. I think it is not as significant of a concern, if we were quite frankly a pure consumer company that is one and two. On the Non-Agency side of the business, these loans are very, very seasoned. I mean when you look at the average age of 115 months, I just think over time we are going to continue to clean up the delinquency pipeline. Yes if delinquencies go up or advance balances could up a little bit but I think in general where we are in the cycle and the season nature of this portfolio I feel like we have less risk around that than if they were not a seasoned and haven’t been in these pipelines for so long.
Jeremy Campbell: Great, thanks so much.
Operator: And your next question comes from the line of Doug Harter with Credit Suisse. Your line is open.
Doug Harter: Do you have a sense as to whether when you get the final approvals, is that something that kind of opens doors for MSR acquisitions kind of immediately or is that still kind of a longer terms opportunity?
Michael Nierenberg: Doug, I think it is kind of immediate, now while saying that we still have a little bit of work to do but we set out to do this for a reason, one is so we would operate our company and diversify our servicing partners, two is to protect the interest of our company but I think the bigger opportunity as we look at the pipeline of MSR is that potentially could be for sale. It is more of an immediate opportunity than it is something that you know we would speculate into the future.
Doug Harter: Great and then looking at the Non-Agency MBS opportunity, obviously you were able to make a big investment there this quarter. How easy is it for you to source bonds where you have the call rates right now at that prices that you find attractive?
Michael Nierenberg: I would say, we deployed a fair amount of capital in Non-Agencies and will continue to do so. I will tell you, it is not as interesting today because spreads of non-agency mortgage securities are trading towards the kind of reason pipes we have seen over the course of the past couple of years. While saying that you know that average price on our portfolio is approximately $0.67. So we think that from an accretion stand point over time we have some reasonable run way which is kind of help us accelerate the time line on some of the calls but the broader market it is so today is not as interesting on season legacy Non-Agency mortgage securities. Spreads are tied; there is a tone of capital being deployed in the sector. I think technicals are such that, likely if rates remain around these levels will probably continue to perform extremely well.
Doug Harter: Great, thank you.
Operator: And your next question comes from the line of Bose George with KBW. Your line is open.
Bose George: Good morning, just want to start one on the mark on the servicing advances. Can you just remind us what drives that mark - there was a negative mark last quarter which was pretty positive this quarter?
Michael Nierenberg: Yeah, so the servicing advance business is marked to have the forward curve. So what happens is that as forwards rates trend lower, you are going to have a - assuming everything else is equal for example if your discount rate is equal, you are going to have a lower mark, in a quarter with extrovert rate are lower. This quarter the discount rate tightened, the forward rates were lower and as a result the discount rate out weighted the forward rates as it relates to from a P&L perspective. So I think the number was approximately the gain from the discount rate was about $25 million to $30 million and I think the loss stood at forwards was about $15 million to $17 million. So net, net there was a positive mark on the advanced business.
Bose George: Okay, that’s helpful, thanks. The discount rate is that driven by market rate as well for you guys.
Michael Nierenberg: Yes
Bose George: Okay, great. Thanks and then actually switching to the just - on Ocwen call, they noted that their higher interest expense to you guys will end up this quarter. When we think about your economics there, is there an offset or I think any comment there?
Michael Nierenberg: You know the company and the way we look at earnings today and the way we look at forward earnings we take obviously, we take into account everything including incentive payments from Ocwen or anybody else. So as we look at Q3 earnings and Q4 earnings, if there is no incentive in payment from one of our servicing partners that is factored into how we look at the go forward business.
Bose George: Okay, so but when we, sort of think about modeling that basically that, whatever that payment to you is, no longer part of the earnings stream?
Michael Nierenberg: Correct.
Bose George: Okay, great and then just one more, can you just comment on the excess liquidity that you had, you noted, you paid down some of the servicing advances, can you quantify how much excess capacity guys have.
Michael Nierenberg: Including all of our, when we incurred excess liquidity we like to think about our ability to finance certain assets on our balance sheet. You know we have been pretty vocal that, you know we have access liquidity of coming into the quarter between $750 million and $800 million. Currently we think we have excess liquidity of something around $500 million assuming that we did certain financings around some of our assets. Current cash on our balance sheet at the end of Q2 was $234 million.
Bose George: Okay, great, thanks.
Operator: And you next question come from the line of Jessica Ribner with FBR Capital Markets. Your line is open.
Jessica Ribner: Hey, good morning. Thanks for taking my question. Two just quick questions here, what can we inset here [ph] kind of the real economic so to speak on the called loan securitization this quarter? Did you get that those two points or are you seeing any benefits in the market from lower rates?
Michael Nierenberg: Jess, it’s a little bit of both. We did there $306 million deal in May and including bond accretion it was at least two points quite frankly and we would expect the same going forward. Obviously, we can’t give forward-looking statements from a profitability standpoint, but based on past history and the way that we think about the business, we feel like we should be in a similar range as we go forward.
Jessica Ribner: Okay. And then switching gears to the servicing expense, it ticked up this quarter pretty meaningfully from last quarter. How can we think about that on a go-forward?
Michael Nierenberg: On the servicing expense on the consumer loans?
Jessica Ribner: Yeah, it’s a loan servicing expense item.
Michael Nierenberg: Jessica, the increase is due to the consolidation of SpringCastle this quarter.
Jessica Ribner: Got it.
Michael Nierenberg: This is the fourth quarter, which we’re consolidating the results.
Jonathan Brown: So tremendous consumer portfolio, Jess.
Jessica Ribner: Okay. I appreciate that. That’s it from me. Thank you.
Michael Nierenberg: Thank you.
Operator: Your next question comes from Michael Kaye from Citi Group. Your line is open.
Michael Kaye: Yeah, good morning. So, you made some clear progress this quarter on MSR licensing front, I mean, but couldn’t the company really compete with some of the larger banks on more plain vanilla non-credit impaired agency MSRs?
Michael Nierenberg: Could we - the answer is absolutely yes. When it comes down to pricing, whether it works for the company? No, to be honest, I mean we have in the past - we have not set out to buy a kind of clean new production agency MSRs. Could that change with the 150 tenure treasury? No, absolutely. But what I’m saying that is going to work for us. Obviously, the banks have a lower cost to capital than we do, but I’m not sure in net-net. I would say we could compete whether it works for us or not, it depends on the portfolio. It depends on the salary. There is obviously a couple of different variables.
Michael Kaye: Fair enough. You talked about the large $500 billion MSR acquisition pipeline. You talked about that last quarter on a three to six-month horizon. I mean what kind of hurdles or roadblocks, like are you seeing from getting deals actually done? Is it just borrowing, seller funding the right price? Is it work hard towards hurdles? Is it financing? Is there going to be like the specific catalyst beginning something done like someone going into some sort of financial distress?
Michael Nierenberg: I don’t think there is anyone seeing that’s preventing whether a seller or a buyer to consummately in transaction. I would say that obviously we are in the middle of a lot of disturb for our core businesses to invest in MSRs and I would expect us to be successful as we set out that timeframe of whatever three months or six months or whatever reasons to get licenses to give us that flexibility to be able to acquire MSRs. So I think we are there.
Michael Kaye: Great, alright. Thanks very much.
Michael Nierenberg: Thank you.
Operator: The next question comes from Trevor Cranston from JMP Securities. Your line is open.
Trevor Cranston: Hi, thanks. A follow-up on your comment that Non-Agency Securities are a little less attracts, because spreads are relatively tight levels. Can you say what you think they expected returns are on the securities you were able to add in the quarter? And then the second part of the question, are you guys expecting any change in the repo terms available on Non-Agencies with the money market fund reform coming up soon? Thanks.
Michael Nierenberg: So, as it relates to that, our targeted yields still are, what I would call, 12% to 15% on the Non-Agency side and that is on a levered basis. That also when you think about what the true return when we call those transactions, it is significantly higher than that. What we're seeing overall spread wise is for those of you that are better bond folks, you're seeing senior securities now trades roughly 250 over or 200 over. So, the real leverage yields on things like that are probably more in the upper single digits. So, we have tended not to be to acquire those assets. We will acquire them over time. Again if the market gives us the ability, we think it adds value to our call strategy. As it relates to the funding, I don't see any change. I think the banks are truly flushed with cash making essentially secure loan against the Non-Agency security where we have, call it, 25% equity in that security.. I think it's something that the banks will continue to lend to us on. We’re also working with other types of funds to try to increase as they broaden the take of financing arrangements we have. So, I don't see any change right now.
Trevor Cranston: Okay, got it. And thanks for the color.
Operator: Then next question comes from Jason Deleeuw from Piper Jaffray. Your line is open.
Jason Deleeuw: Thanks. Good morning. And it's good to see the portfolio performing so well, especially with the decline in rates and you guys did $0.52 of core EPS this quarter, $0.49 last quarter, $0.52 in the fourth quarter. So I'm just kind of and you've been building the Non-Agency call right securitizations. I'm just kind of trying to get a sense in your view, Mike, has the sustainable earnings power of the portfolio increased?
Michael Nierenberg: Yeah, I mean, the one thing I point out, Jason, we come in every day saying how are we going to make money for investors and how are we going to maintain and grow our dividend, so in doing that we try to stay obviously within our core asset groups. I do think the sustainability and the earnings power of the portfolio is extremely powerful. I also think that if we are able to do some of the things we want to do around some new potential acquisitions of MSRs and other things that will only add to the sustainability and the earnings power of the portfolio. It is a mortgage, so obviously they do amortize, so we have to continue to replace assets. But the net of it is the portfolio, as it continues to grow, will continue to kick off a lot of cash flow and the sustainability I think is extremely powerful.
Jason Deleeuw: And is there any way to quantify how much of the core EPS is coming from the Non-Agency call right securitizations at this point?
Nicola Santoro: The core EPS for the quarter that's coming through is approximately $0.08.
Jason Deleeuw: Okay. And is there any way you could kind of give us a sense like since the beginning of the year or maybe just a couple of quarters ago like how much is that increase, just so I just think it would be helpful, investors could kind of get a sense for how this asset class of Non- Agency call right is actually contributing to the quarterly for EPS?
Michael Nierenberg: Yeah, Jason, let us go to some numbers and then obviously in one of the follow-up calls we can give you some of those numbers. Clearly as we accelerate the timelines of this is going to be a significant driver of earnings as we look forward. Clearly, we’ve been talking about this for a couple of years. I do think we're closer now than we've been in sometime as these portfolios season more and advance balances come down, but again I think there is a broader market fix to get rid of or clean up what I would say some of these legacy loans that have been sitting in the pipeline for years, which will help us accelerate the time lines around the call right and it will be very, very good for quite frankly homeowners, for servicers, for anybody that owns bonds. So, it's a bigger fix, but it's not something that - it's something that we’re ultra-focused on and hopefully at some point in the near future we’re able to figure this out and it will be a bigger driver of earnings as we go forward.
Jason Deleeuw: Okay. That's great. And then just a last question on the servicer advances and how you've been working with your servicer partners to bring those down. Can you just help us kind of understand what you're doing exactly with your servicer partners to bring those advances down? And then just kind of give us a sense for how that benefits your P&L? I mean my sense is lower interest expense and funding the servicer advances, but is it just that or are there other aspects in the P&L that benefit.
Michael Nierenberg: Yeah, I think just to comment on the servicer advances, while we work for the servicers, obviously the servicers do what they have to. In a quarter, it would be underlying, pulling and servicing agreements and how they need to service them. So I think that is truly on the servicer themselves. Keep in mind in advance as they cost to a servicer and what we do is we provide equity capital to the servicers - to our servicing partners. So they’re incented to bring down advanced balances as their interest costs go down significantly. As these portfolios season and as the servicers go through and say, okay, maybe that advance shouldn’t have been made or maybe we have the ability to call it back, that is work that I believe we will continue to happen at our servicing partners. But we don’t control that as it is - as it is a basic servicing function. As it relates to the financing and what we do, I would say that there is a tremendous amount of financing available to us in the servicing advance business that could be done via bank balance sheet and then a lot of the larger banks that we all deal with are very much involved in that business. We are seeing some interests from insurance companies that are involved now in the business. And then the third part of that is, we could issue term notes and if you think about it, with fixed income assets from yield standpoint trending lower and spreads tighter, it does give us the ability to issue more term like securities in the marketplace today than we have been able to do it in some time. So it’s a combination of everything. I’ll say, kudos to our team that works on the servicing advance business and they’ve done a great job working with the banks and different servicing partners to get the lowest cost of funds as well to increase our advance rates on these different facilities.
Jason Deleeuw: Great, thank you very much.
Michael Nierenberg: Thank you.
Operator: Then next question comes from Fred Small from Compass Point. Your line is open.
Fred Small: Hey, good morning. Thanks for taking my questions. On the - just one more on the call right strategy, you said - that I hear you right, you said $0.08 from call right strategy this quarter.
Michael Nierenberg: That’s correct.
Fred Small: It seems like that - the last time you disclosed the GAAP and core earnings from the call right strategy, I think was an preannouncement to the fourth quarter. It seems like the economics have improved just because you did less this quarter and made more from it. Can you sort of explain what’s changed there?
Michael Nierenberg: Yeah, I mean - Fred, we can get into more detail, but it’s - keep in mind the more bonds we own at a discount - I pointed out earlier that our portfolio - the weighted average market’s about $0.67, between $0.66 and $0.67 I believe. As you have more bonds per deal, when you call them, it just helps from an accretion perspective and that’s going to add to our core earnings and that’s the way that I would think about that and should you want to get into further detail, we’re obviously happy to do that with you as well.
Fred Small: So there - you own - when you put out like the 291 I guess, that’s just a gross number, not sort of the percentage of bonds that you own varies between, the total numbers that you report, is that what you’re saying?
Michael Nierenberg: Now, what is the 291 Fred?
Fred Small: Sorry, I thought that was the number in the release.
Michael Nierenberg: Yeah, it depends on the amount of bonds you own per kind of collapse or per securitization I should say.
Fred Small: Okay, alright thanks. And then your expectation - what’s your expectation on the annualized servicing expense from the consumer portfolio?
Michael Nierenberg: We expect that to be approximately 45 million.
Fred Small: Got it and is that fair to take that as sort of a rate that annualizes as the consumer portfolio amortizes?
Michael Nierenberg: It will decline, but it’s a fair assumption.
Fred Small: Okay, got it. You talked about the advance rates coming down, is there - do you have sort of an estimate of how much cash you receive from the reduction of advances or the reduction at the advances to UPB year-to-date in the second quarter?
Jonathan Brown: So the advance bounces have declined approximately $1 billion since year end and if you think about it that our LTVs on those advantages in the low 90s, well, then the return of equity is going to be approximately 8% on that reduction in advance balance, as we have approximately 92% LTV. So $1 billion reduction in advance balance is going to be 80 million of return of equity.
Fred Small: Okay, awesome. That’s really helpful. Two other questions though, one on the spin on it, when you say you need help from other partners to clean up the Non-Agency market, can you give any more detail on sort of what you mean there?
Michael Nierenberg: Yeah, I mean, I’ve been doing this a long time. I think that when you look back to - these loans were created from ‘03 to ‘07, if you think about it. A lot of these loans are just sitting in these mortgage trusts, they’re very stale. I do think it’s in the best interest of the industry to clean up a lot of these legacy assets that are sitting or these legacy loans that are sitting in there. And if you think about it from the benefit standpoint, it would benefit everybody from the bond holders, right because you’ll have some accretion on your underlying bonds that you own. From a servicing perspective, the servicers would have much lower interest cost as a result of advance balances going away. I do think it potentially clears up some of the litigation - this legacy litigation from the trustee standpoint and the rating agencies. So while we will embark and do all we can, I think a broader solution - an industry solution will be more beneficial to the entire - quite frankly the entire business, not just NRZ, but the broader mortgage market. So that’s kind of how I think about it. Do I think that there will be broad based support for it? I would hope so because I think it would benefit everybody and homeowners as well.
Fred Small: Okay, awesome. Last one, does the capability to own MSRs in all 50 states or service in all 50 states, does that sort of weigh on the decision at all whether or not you want to move Ocwen servicing, assuming that they don’t get and SMP upgrade?
Michael Nierenberg: No, listen I think we’ve been pretty clear. We’re doing this to give us more flexibility to acquire MSRs and work with different sub-servicers and I think that is really the premise as far as why we’re doing this. As you think about protecting our company, I think it’s also an added layer of protection and I think it’s as simple as that.
Fred Small: Great, thanks a lot.
Michael Nierenberg: Thank you.
Operator: There are no further questions at this time. I would now like to turn the call back to Michael Nierenberg for closing remarks.
Michael Nierenberg: Well, happy summer everybody. We appreciate all of your support and look forward to updating you on Q3 in October. So enjoy the rest of the summer. Thank you. Bye-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.